Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Alarum Technologies Third Quarter 2024 Corporate Update Conference Call. During today's presentation, all parties will be in listen-only mode. Following management's presentation, the conference will be open to questions. [Operator Instructions] This conference is being recorded today, November 25, 2024. Before we get started, I'll read a forward-looking statements disclaimer. This conference call may contain, in addition to historical information, forward-looking statements within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 and other federal securities laws. Forward-looking statements include statements about plans, objectives, goals, strategies, future events or performance, and underlying assumptions and other statements that are different than historical fact. These forward-looking statements are based on current management expectations and are subject to risks and uncertainties that may result in expectations not being realized and may cause actual outcomes to differ materially from expectations reflected in these forward-looking statements. Potential risks and uncertainties include those discussed under the heading risk factors in Alarum's annual report on Form 20-F, filed with the Securities and Exchange Commission on March 14, 2024, and in any subsequent filings with the SEC. All such forward-looking statements, whether written or oral, made on behalf of the company, are expressly qualified by these cautionary statements, and such forward-looking statements are subject to risks and uncertainties, and we caution you not to place undue reliance on these. On the call, the company will also present non-IFRS key business metrics. The non-IFRS key business metrics the company uses are EBITDA and adjusted EBITDA, non-IFRS gross margin, non-IFRS net profit or loss, and non-IFRS basic earnings or loss per share or ADS. The exact definitions of these non-IFRS key business metrics are described in the company's third quarter of 2024 financial results press release. I'll now turn the call over to Shachar Daniel, Alarum Technologies’ CEO. Mr. Daniel, the floor is now yours.
Shachar Daniel: Thank you, and welcome everyone to Alarum Technologies third quarter 2024 results conference call. Joining me on today's call is Shai Avnit, our CFO. I will discuss with the development, the progress of our strategic initiative and our longer term vision. Shai will review the financials and provide our Q4 2024 and full-year 2024 guidance. I will conclude the prepared remarks with a summary and we will then open the call for your questions. I am pleased to share that in Q3 2024 we continued to bear the fruits of our strategic shift to focusing on NetNut, our data collection business unit. NetNut contributed nearly 100% on both a quarterly and accumulated business. We topped the full-year 2023 revenues during the first three quarter of 2024. Total Q3 2024 revenues hit the high-end of our guidance as revenues came in at $7.2 million, of which $7 million were attributed to NetNut. We exceeded our Q3 2024 adjusted EBITDA guidance, recording an adjusted EBITDA of $1.4 million. We demonstrated once again continuing success in cash flow generation. Testament to our profitable business model, our cash and cash equivalents at the end of the quarter increased to $24 million. Our strong cash balance position us to invest in opportunities that will drive Alarum’s long-term success, allowing us to focus on expanding our business and laying the groundwork for sustained growth. Consistent with our strategy and long-term vision, in Q3 we significantly addressed our main growth engines, we increased our market share in the IP proxy network, the IPPN segment, and further penetrated to the data collection and labeling market. Our focus on forming the broadest data collection and insight offering positions us to effectively address evolving market needs, while driving long-term value for our stakeholders. I will start with the IPPN. Our expanding IP network is a key asset to serve diverse industries and companies relying on our IP proxy network for their critical data needs. We have significantly enhanced infrastructure coverage and endpoints. At the same time, we prioritize improving our capacity to handle larger traffic volumes, aligning with the strategy to build a scalable and profitable infrastructure for future growth. One of our main product enhancements introduced this quarter was a new dashboard, which significantly improved our customer experience and already received excellent feedbacks from both users and potential customers. Through our IPPN organizations can access public online sources with data regularly updated based on IPs, locations, and other demographic attributes. We enable them to securely and anonymously capture reliable data, while protecting their sensitive research and online activities. What clearly sets us apart in the scale of our network is stability, strong performance, and our ongoing global expansion. Building on the strength of our IP network, let's move to the second pillar of our growth strategy, the data collection and labeling market. On our Q2 call, I shared with you that we had started generating initial engagements with new customers for our Website Unblocker product, and that we are seeing a growing pipeline of opportunities for this product, which has been tested and rated as a market leader by industry experts. We recently reached an important milestone in executing our strategy. The Fortune 200 company that began using our IPPN product in the third quarter, expanded its subscription by adopting our unique Website Unblocker in less than three months. Two impact of factors make this win standout. First, [Indiscernible] the fact that they added the Website Unblocker shortly after subscribing for our IPPN. Second, the significance of this win lies in the extensive, large-scale evaluation conducted. The new customer operating a multi-million cross-region network and the multi-billion U.S. dollar business shows our solution to enhance automation and its own customer spending, while gaining a competitive edge. The Website Unblocker is a crucial enabler for our entry into the multi-billion dollar data collection and labeling market. It provides our customers with enhanced data access and improved operational efficiency, allowing them to penetrate to new markets, gain deeper insights into customer behavior, and optimize their strategies. One notable market trend we are seeing in the increasing demand for data sets. As companies face growing challenges in accessing reliable and up-to-date data, our planned AI data collector solution will offer a major advantage by providing continuous access to how to find data, giving our customers a competitive edge. The AI data collector will enable companies to quickly create a collector in just minutes. Thanks to its initiatives, no code interface, its advanced AI will automatically adapt to website changes, ensuring continuous data collection with minimal downtime. We all value the importance of data in every aspect of our lives. The considerable investments we have made in NetNut in the recent years serve us as the key to our in-entry into the data world. The rapid growth of artificial intelligence further validates the core principle behind this investment, highlighting its potential to drive innovation and unlock new opportunities. At this point, I would like to highlight the key trends we are seeing and share the metrics to consider most important and insightful in evaluating our most recent progress. First, the Website Unblocker. It's clear that the market recognizes the value of this solution and we are addressing a real and pressing need. Alongside the success we have already shared, we are seeing a significant demand in the market reflected in an expanding pipeline. While it's early to project immediate revenues impact, it's clear that our innovative high quality solution is in demand. In Q4, in line with the projected year of regrowth, we expect to continue to enjoy strong, solid customer retention rates across most verticals. Our growth strategy in the dynamic data collection market emphasizes the importance of consistent investment in our network, serving as the foundation for expanding our customer base and driving success and adoption of our innovative new products. At Alarum, we put clear emphasis on achieving sustained growth and profitability. I will now turn the call over to Shai for a review of the financials. Shai, go ahead.
Shai Avnit: Thank you, Shachar. And hello, everyone. I will start today with a summary of the key financial results of the third quarter and first nine months of 2024, comparing them to the same period in 2023 results respectively, unless otherwise stated. I will then provide guidance for Q4. All figures have been rounded for simplicity. Let's move on to the new results. Revenues in Q3 2024 were at the high-end of our guidance, reaching $7.2 million, up 6.6% from $6.8 million in Q3 2023. The net of portion represented 97% of the total revenues increasing to $7 million in Q3 2024 and up 13.7% from $6.1 million in Q3 2023. Non-IFRS gross margin for the third quarter of 2024 was 73.6%, compared to 79.4% in Q3 2023. The change in gross margins is correlated to our strategic decision to invest in expanding and broadening our IP network, enabling us to serve our customers' requirements for stability, responsiveness, and speed. We can now support much higher customer demand and revenues with only marginal cost. Operating expenses in Q3 2024 were $4.1 million, compared to $3.7 million in Q3 2023. In Q3 2024, we recorded non-cash finance income of $3.5 million, compared to a non-cash finance expense of $700,000 in the corresponding quarter in 2023. The difference is mainly due to a fair value decrease of warrants issued between 2019 and 2020 related to the lower share price from June 30, 2024 to September 30, 2024. The vast majority of the warrants are due to expire in 2025. IFRS net profit increased to $4.2 million for the third quarter of 2024, up from a net profit of $1.1 million in Q3 2023, mainly as a result of the higher finance income. We exceeded our adjusted EBITDA guidance for the third quarter of 2024. We reached $1.4 million, this is compared to the $1.9 million adjusted EBITDA in the third quarter of 2023. While revenues increased year-over-year, they were offset by the higher cost of sales and operating expenses. Our current share count is 68.9 million ordinary shares or 6.9 million ADSs. On a fully diluted basis, the count is 18 million ordinary shares or 8 million ADSs. Q3 2024 non-IFRS basic earnings per share was $0.02 per share or $0.20 per ADS, compared to $0.03 basic earnings per share or $0.25 per ADS in Q3 2023. As of September 30, 2024, the company's shareholders' equity rose to a record of $25 million, up from $13.2 million on December 31, 2023. The increase in net profit combined with the warrants and option exercises contributed to this $11.8 million increase. Q3 2024 marked the fifth consecutive quarter of generating cash flow from operations. The company's cash and cash equivalents balance at the end of Q3 2024 was $24 million, up from $10.9 million as of December 31, 2023. Our cash position enable us to continue investing in our strategy and grow our business responsibly. Turning to guidance, we anticipate Q4 2024 revenue to continue the year-over-year growth trend and estimate revenues of $7.5 million plus-minus 3%. As a reminder, the NetNut portion of our revenues in Q4 2023 was $6.8 million. Q4 2024 adjusted EBITDA is expected to range from $1.3 million to $1.7 million. To summarize my part, our Q3 2024 results and guidance for the remainder of the year 2024 reflects solid performance, which is supported by a robust balance sheet. With that, I'll hand the call back over to Shachar.
Shachar Daniel: Thank you, Shai. Alarum has once again delivered strong results. As a company built for the long-haul remain focus on expanding our customer base and investing in technological innovation. Our expanding network allows us to serve an increasing number of customers, driving scalable and profitable growth across multiple sectors now and in the future. We are committing to launching new products that meet the evolving needs of the market, positioning us to address market demands, while creating long-term value for our stakeholders. We are laying the grounds for future success as a leader in the global data collection market through innovation, strategic asset creation, and the focus on both short and long-term results. We will now open the call for the Q&A session. Operator, please.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first questions come from the line of Kingsley Crane with Canaccord Genuity. Please proceed with your questions.
Kingsley Crane: Hi, thanks for taking the questions. So it's great to see that you're upgrading the IPPN network. Just curious, would like some more clarification. So are those investments, were those fully made in Q3? Do you feel that they were customer-driven or internally driven and I guess how should we expect gross markets to trend going forward? And do you think that you could make more of these investments in the future as well? Thanks.
Shachar Daniel: Okay, thanks. Thanks for this question. So I will speak my answer for two parts. So first of all regarding the first part of your question, so at the end of the day it's a combination of the feedback that we are getting from customers, which is driving all the time internal decisions and investments. As a basic in the IP proxy network market and customer's needs, you always need to serve the customers with a fast and reliable network. And you always need to invest in your network, which it’s a kind of a game between revenues and investment in the COGS, which is basically the network for your question, in order to keep on the balance and to keep on the growth margins. So the answer is yes. Our purpose is to stay more or less in the same gross margins, unless we will see a unique opportunity for one-time investment or something like this, that maybe, we don't have something like this on the table, but looking to the future in general, that we will see an opportunity to increase significantly our network, and maybe it will have a short-term impact on the gross margins. But for sure for the long-term it will -- the impact will be a higher growth rate and of course, great gross margins. Hope this answered your question.
Kingsley Crane: Okay, yes, that's helpful. And so on the Fortune 200 customer win, that's a great example, thanks for including that. We'd just love to think more through about how expensive that deal is, what the revenue uplift has been so far, and then if you -- to the extent that you can get a sense like, are they a customer that could continue expanding over the next year or two years?
Shachar Daniel: Yes, so first of all, bear with me, because these kinds of customers are basically very sensitive to their confidentiality. So at this point of time I cannot expose the number, but it's a respectful number. It's just the beginning, meaning as I mentioned in the script, in the code, so basically they went both directions, also for the IPPN and crossed with the Unblocker. And they started with the lower traffic in order to evaluate the system and the purpose if it all goes well. Again, according to their strategy is to trip it and maybe more than trip the traffic and then directly it will impact the revenues of this customer and it's supposed to be a long-term engagement. For this point of time it's six months, but it's supposed to renew and even to extend the duration of this engagement.
Kingsley Crane: Okay, and then last one for me, and I'll pass it on, is I just want to think through, NRR 142 is quite strong, I believe NetNut is growing, single-digits. So I guess just to ask this another way, and perhaps we can think offline. Like what percentage of customers are still with NetNut this year? Or how could we think about the existing customer expansion and the net new customer contribution in Q3?
Shachar Daniel: Okay, so basically I guess you can guess that in our stage, most of the revenues are coming in a specific quarter, are coming from existing customers from previous quarters. So something like, let's say 80% or more are resulted of our current customers that from their retention from previous quarters. So this is for your first question. For your second question, you know, the NRR is an indicator that indicates on the four measures that we are doing, you know, every time four quarters versus the previous four quarters. And then we do it four times and then we take the average. So regarding your question, you can guess from this KPI, which is common in our industry that the typical customer over the time over four quarters versus four quarters would do 42% more than in his initial period. That's the average customer, that's the typical customer, that's why our NRR is 1.42. And maybe in the next quarters, according to your question, maybe we can deep dive a little bit and expose some more data regarding shorter terms, regarding customers that are coming from the previous or maybe two previous quarters. But for this point of time, this is the official KPI that can indicate to your question. Hope it answered your question, Kingsley.
Kingsley Crane: Okay, that's helpful. I think we can think up more later, but that's it for me. Thank you so much.
Shachar Daniel: Thank you very much. Appreciate it.
Operator: Thank you. Our next questions come from the line of Brian Kinstlinger with Alliance Global Partners. Please proceed with your questions.
Brian Kinstlinger: Hi. Good morning. Thanks for taking my questions. Just kind of a follow-up, and maybe I missed it as part of the answer. Last quarter, you highlighted you had dozens of new customers that generated $400,000 in first month revenue. You provide that metric that's comparable in the September quarter? And I guess I'm curious from a bigger picture, have you seen any changes in the paces of business development?
Shachar Daniel: OK, so I know I didn't mention it this time. We'll do it from time-to-time. But if you already asked, I can tell you that in this quarter it was better than the previous one, this indicator, this KPI. And what was your second question, Brian?
Brian Kinstlinger: I guess I'm wondering if you're seeing any changes to the pace of business development, you know, as we've started and we're halfway through the fourth quarter, more than halfway?
Shachar Daniel: So, first of all, I guess you heard that we released the guidance. So we project to close this quarter with $7.5 million plus-minus 3%. So in high-level business as usual, I don't see any something significant that I can mention this would be interesting for you.
Brian Kinstlinger: Okay on the Website Unblocker, can you describe how you're pricing this project? Is it usage base? Is it a recurring monthly charge? It's a minimum that has upside? And then how does it scale? Is it usage or is there some other factor that drives expansion of any customer, not even this customer?
Shachar Daniel: Okay. So in high level, the same pricing model like the IPPN based on duration and usage, and bandwidth or amount of request, it depends. As we just started, and we are slowly, slowly increasing our customer base. We are still investigating what is the best pricing model for us versus the best pricing model for our customers and the best way to scale up. But for this point of time, it's based on bandwidth, mostly on requests and duration. You know, you can buy ex amounts of requests for one month, for three months, for six months, for one year, et cetera.
Brian Kinstlinger: Okay. Staying with the Website Unblocker, can you quantify the number of evaluations you have going on or your initial target customers, ones that are already customers of other Alarum applications? I guess you mentioned the expanding pipeline, so I'm looking for any quantitative details?
Shachar Daniel: Okay, so we need to differentiate between the pipeline and current customers. And regarding your question, I will explain. The Unblocker product is a little bit different than the proxy network. Meaning instead of being an infrastructure, it's a product that is dedicated for websites and is very sensitive for changes in websites. And these need to handle millions, or more than millions of requests, meaning you need to have a great infrastructure and it’s -- the economics behind it to make sense, because we are profitable and we want to stay profitable in the same levels. So we took a decision a few months or even a few quarters ago, in this case of the Unblocker to go step-by-step. And for example, the winning with this Fortune 200 company was a big step for us, because this was the point we decided to go one level up with biggest customers and use cases, and then to stop to investigate, to get the feedback for the customers, and then to go to the next phase and add some more customers. So for this point of time, we have the few first customers. The most important of these customers is the one that we mentioned. But the pipeline looks very good. We have dozens of customers that are waiting to get our solution, that are in touch with us. And basically, with each one of them, we define timelines and goals. And hopefully, in the next quarter and the next, next, every quarter, we can elaborate and explain what are the milestones that we crossed and the amounts of customers that joined our platform.
Brian Kinstlinger: Okay lastly could you discuss how the set of customers that were facing industry challenges that resulted in your lower consumption during the September quarter, you know, the trends there, are there any signs of recovery? And maybe you can highlight the industry or whether that industry is seeing improvement that could lead to those customers coming back and increasing their usage?
Shachar Daniel: Okay so basically for this question, so I will start with something okay so as you know we continue to add new customers every quarter. At this point of time, these specific customers haven't returned to increase the usage. And this is a natural part of ongoing business dynamics. All in all, our focus remains on improving retention rates, while simultaneously driving growth by adding new customers and upselling to our existing ones. Because you know churn will always be, you know, at that quarter, the previous quarter, it was most significant, so it comes to reality with the results. But you know, churn is part of the business. Our target from one side, you know, we have an account management team, and then the customer success team, that they need to make sure that their retention, the customers will stay with us, and the retention rate will go higher and higher, but churn will happen. And from the other side, our purpose is to add more and more customers, more and more verticals to decrease the risk. And from the other side, for our current customers, and not just to retain them, but to upsell and cluster them with new products, innovative products, et cetera.
Brian Kinstlinger: Okay, thank you.
Shachar Daniel: Thank you very much.
Operator: Thank you. Our next question comes from the line of Mike Killian with Shore Equity Group. Please proceed with your questions.
Mike Killian: Hey, guys. Congratulations on the quarter. I have three questions. First one is you also filed the F3 for capital raise? Could you touch base on that? Do you have anything in the pipeline looking forward to that? And with $24 million of cash on the books, is there an immediate need for capital? I'll follow it up with my next question after this.
Shachar Daniel: Okay, thank you very much. So I will start and say that as you saw, and everybody saw it, we've heard it today and in the last few quarters, we are profitable and well-funded. So we have no actual short-term plans to do so. The renewal of the shelves, I don't know if you are aware of it or not, but it's a technical common practice which provides us with flexibility to raise capital if needed in the future. It ensures that we are prepared for strategic growth opportunities like M&A and strength our ability to respond to market conditions if they come up. But it's a technical common and that's what we did today. Just renewing our shelves.
Mike Killian: Okay. And follow-up on to that, basically, Shia addressed some warrants that basically expired in the end of 2025. Can you touch base on the number of warrants still out there and what their exercise prices are?
Shachar Daniel: Yes, Shai, you want to take it? Shai?
Shai Avnit: Yes. Yes, I will take it. We're talking about, as I said, on warrants that was issued a long time ago. They were issued to investors back then, back then when we raise money in 2019 and 2020. Let me just draw for you the numbers. We are talking about total of, let's say like the whole series is it's about 240,000 warrants, which means it's about less than 3% than the total fully diluted basis of the equity. And the exercise prices are mainly, I would say, around $33 and some of them are $12. So some of them are basically, you know, in the money or close to the money. And some of them are quite far out of the money according to the share price today.
Shachar Daniel: And Shai just say again the number in ADS?
Shai Avnit: Yes, it is ADSs.
Shachar Daniel: Ah, okay, sorry.
Shai Avnit: It's an ADS, 240,000 ADSs. Okay, and we have about $8 million ADSs on fully-diluted basis.
Shachar Daniel: Okay.
Mike Killian: Okay, wonderful. So potential opportunities to raise $5 million to $8 million just strictly through exercise of warrants on a minimal amounts of shares. That's great. Thank you.
Shachar Daniel: Okay. Thank you very much.
Operator: Thank you. We have reached the end of our question-and-answer session. I would now like to hand the call back over to Shachar Daniel for any closing comments.
Shachar Daniel: Okay. So thank you everyone for your time today. As always, we look forward to hosting you on Alarum Technologies Q4 2024 and full-year results call. Thank you very much.
Operator: Thank you. This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.